Operator: Welcome to Barrick's Results Presentation for the Second Quarter of 2025. [Operator Instructions]. As a reminder, this event is being recorded, and a replay will be available on Barrick's website later today. I will now turn the call over to Mark Bristow, President and CEO of Barrick. Please go ahead, sir.
Dennis Mark Bristow: Thank you very much, and a very good morning and good afternoon to everyone, and thank you all for joining us today. It's a pleasure to be here, back in London with the weather has been fantastic. And to take you through our second quarter results and share the progress we're making across the business. Quarter 2 was a productive quarter for Barrick, one where we built on the positive momentum from quarter 1 with stronger production, continued delivery from our Tier 1 assets and solid progress on our growth projects. We continue to perform in a global environment that remains uncertain and at times even uneven, reinforcing the value of a diversified portfolio, disciplined capital allocation and the ability to operate effectively across a range of settings. Our performance this quarter speaks for itself. The portfolio is delivering. Our balance sheet remains strong, and the second half is shaping up to be even better. We're growing real value through delivery. And while the market hasn't fully recognized this yet, we see it as a clear opportunity. Before we begin, I'll just remind everyone that today's presentation contains forward-looking statements and financial measures that are subject to a number of risks and assumptions. You'll find the full cautionary in the appendix to this presentation and on our website, which you can read at your leisure. So starting with group highlights. This was another quarter delivered in line with plan as we continue to leverage the high gold price. Production tracked our guidance and the second half is set to deliver more in line with the guidance we laid out at the start of the year. Earnings per share more than doubled versus last year with adjusted earnings per share at $0.47, the highest since 2013. We finished the quarter in a net cash position, which allowed us to continue buying back shares while strengthening the balance sheet. In line with our performance dividend policy, the Board has approved a total dividend of $0.15 per share, which includes a $0.05 performance top- up. Operationally, we are pleased with the progress across the portfolio. Nevada Gold Mines and Pueblo Viejo delivered solid results. Lumwana started to show its true potential. The ramp-up at Goldrush is gaining momentum. And of course, Fourmile keeps growing as we'll discuss later. On the operational front, this was another quarter with all the arrows pointing in the right direction. Production improved across the portfolio with solid contributions from Nevada Gold Mines, Pueblo Viejo, Kibali and Lumwana. These assets are delivering as planned, setting us up for a stronger second half. In copper, we saw a clear year-on-year and quarter-on-quarter improvement, production volumes up and unit costs coming down. Attributable gold production increased. And importantly, we continue to see a reduction in all-in sustaining costs. As we discussed at the start of the year, controlling all-in sustaining cost is a key focus area for us, and we are starting to see that discipline coming through in the numbers. And as we continue to focus our portfolio on long life Tier 1 assets, we completed the sale of our interest in the Donlin Gold project for $1 billion. The sale reflects our disciplined approach to capital allocation and further sharpens our growth pipeline. Turning to the group's financial results. The combination of improved operating performance and a stronger gold price has delivered the best quarterly adjusted earnings per share in over a decade. We can see a significant improvement in revenue, net earnings and adjusted net earnings, with all 3 tracking upwards compared to quarter 1 and the same quarter last year. Our attributable EBITDA growth reflects stronger margins and net cash provided by operating activities came in at $1.33 billion, up 35% from last quarter if we exclude interest and income taxes. Free cash flow improved, supported by the gold price and disciplined capital allocation and as I mentioned, earnings per share increased to $0.47 aligning with the operational and market tailwinds we've discussed. The trend here is clear. Barrick is on a positive trajectory with even more to come. This slide really highlights the product of our clear and consistent capital return framework. It reflects the disciplined approach we take to allocating capital, ensuring we deliver long- term profitability across our portfolio while building value through the growth of our Tier 1 assets and new projects. In the first half of the year, we've already returned $753 million to shareholders through a combination of dividends and share buybacks. That is even before the performance dividend we declared which will be paid out in quarter 3, in line with our capital return framework. And importantly, this is just the first half of the year. All indicators point to an even stronger second half as we continue to deliver on our plans. As we all remind each other every day, in Barrick, health and safety remains a core priority. In this quarter, we saw further improvements across both leading and lagging indicators. Year-to-date, we've achieved a 50% decrease in Lost Time injuries and a 37% decrease in Total Injuries compared to the same period last year. These gains reflect both stronger frontline engagement and the effectiveness of our critical control verification program, which remains the central to how we manage risk and embed a culture of safety across all our sites. Let's now turn to operations, and starting with North America. This was the first quarter where Nevada Gold Mines led the group's performance, driven not only by production, but by progress on key growth projects. As we've said before, the complex is transitioning to a predominantly underground operation. To support development, we initially brought in contractors, but now we're shifting back to self-perform as the capacity of our in- house teams improve. At Goldrush, the ramp-up continues in line with plan, as we move towards nameplate capacity. At the same time, we're super excited by their potential at Fourmile. Barrick's 100% owned asset which is effectively an extension of the Goldrush orebody except better. I'll speak more about that a little later. At Nevada Gold Mines, we saw increased gold production this quarter, reinforcing the financial strength of the portfolio and helping drive a reduction in all-in sustaining costs. That trend is expected to continue with further cost improvements anticipated by the end of the year. Production gains were driven largely by higher volumes at Carlin and a reduction in sustaining capital contributed to a lower overall all-in sustaining costs. With all major planned maintenance shutdowns now behind us, we're well positioned to deliver an even stronger second half. Turning now to Fourmile. This asset is rapidly competing to be the largest and highest grade gold discovery in the industry this century. Since we last showed you this picture, the orebody potential has grown significantly and the grade is also increasing. Let me pause here to reflect for a moment. As you'll recall, our resource as calculated at the end of 2024, and as shown in this table is represented by the red outline of this graphic. It's also that red arrow if somebody is struggling to see the outline. The black dotted outline in what we expect to convert this year and where all indications point to us doubling the current resource or more. Even more exciting is what's shown by the green outline on the slide, where we are continuing to define significant high-grade orebody extensions. Fourmile is no doubt emerging as a generational asset, and it's worth putting this in context, and I think Simon did it at our Investor Day. If you look at Goldstrike underground, which was as some of the older folks in this audience will remember, was the maker of the Barrick then. Goldstrike underground today has produced some 13 million ounces to grade of around 10 grams a tonne. Our current exploration drilling, which is adding to the previous drilling and some of it is shown here in the yellow dots and the black dots, the ones with the grades attached to them, is really highlighting the potential. And it's a long time since we've seen these numbers of intersections at these grades with these thicknesses, and what you have is an extension of Goldrush. And this is now accessing host rock that is brittle. And we've now got these large brecher bodies that are delivering the grade. It's also important that these large bodies are competent. So when you intersect them for those geologists or mining engineers in the audience, when you drill through them, the core is continuous. And that's not normal in Carlin style orebodies, where you have many brakes in the core when you drill through the orebody. So, it really does and when you just look at it from -- on a like-for-like, whether you use Goldstrike or Goldrush, the unit underground mining costs are going to be substantially lower. The other part of this is the geometallurgy and we are now well down the road and making intersections across that purple patch that you see on the screen because there's indications that some -- a significant amount of this orebody could well be not double refractory, but single refractory ore. And that's really the focus. The rest of the -- this year is going to be really to frame the potential of this orebody. We've resisted the temptation of trying to bank it, really to get our head around the size of this orebody and the grade. And then we will start thinking about the next step. And the next natural step is to look to access it from underground. And we have an opportunity with minimum permitting to be able to do that from the old Bullion Hill site and with that, we believe we will save $500 million to $600 million in drilling as if we were -- compared to if we had to try and drill it out from surface, which are long complicated holes. So I think what I want to leave you with, and I'm definitely going to be talking about this every quarter going forward is the significance of this resource. And the difference that really should be considered here is that this is a world-class tens of millions of ounces, and it's right in the middle of infrastructure, the Nevada infrastructure. It's not something that you have to go and establish in some complicated place in other parts of the world. So I'll leave you with that. And again, when you look at the intersections multiple meters, 10, 20, 30, 50 meters at 1 and 2 ounces per tonne rather than grams per tonne, it's very significant. Let's move on to Latin America and Asia Pacific, which delivered another all-around solid performance this quarter. And it's worth noting that this was a very challenging region when we started out back in 2019. And at Pueblo Viejo, we made further progress on the plant expansion, supporting improved throughput and production quarter-on-quarter. Veladero continued to trend well and at Zaldivar, we secured new mining -- a new mining permit for that operation that now extends the operations life through to at least 2051. We also continue to advance the permitting process at our El Alto exploration project. And as you'll see shortly, Rich Haddock remains firmly on track a world-class project with exceptional long-term potential. At Pueblo Viejo, we delivered, as I said, a solid improvement in gold production this quarter on increased plant throughput while also driving unit costs lower. The plant modifications completed last quarter are working well, and we expect continued momentum as throughput ramps up further in the second half. You would remember that we went down not in the whole process, but on parts of the process for a period of 35 days in Q1, really focusing on debottlenecking the throughput within the operation. Construction of the new tailings storage facility is advancing with access roads currently underway and engineering design optimization are going forward. The focus this year has been on debottlenecking the plant and improving throughput, as I've already mentioned. And that progress is clearly reflected in the production trend that you see here. The little curvation on the third bar on the top is the quarter where we were shut down for a while. That's why the throughput is down on that light blue bar. Throughput continues to rise with steady growth expected through the second half. As a reminder, Q1 was impacted by a planned shutdown, but the overall trend is firmly upward. We're targeting throughput of 12.8 million tonnes per annum by 2026. Importantly, we continue to optimize the Life of Mine. And while the ramp-up has been gradual, we are managing the blend more aggressively by adding older, higher-grade stockpiles during this phase, which is being built into the plan. And we'll be updating as we go and as we progress our test work on the old stockpiles. We have a significant reserve base in stockpiles at Pueblo Viejo. As mentioned earlier, the resettlement action plan at PV is progressing well. A key milestone in this quarter was the signing of a formal agreement with the affected communities which was resolved all -- which has resolved all outstanding issues through a commission process mediated by the country's Public Defender and the Catholic Church. With that in place, families are now moving into the new horizons, housing estate each week, and we're seeing steady progress on this important social commitment. And it's worth noting a lot of these folks living within the effectively the jungle and singular houses of which they didn't own. And this housing estate comes with a pre school, primary school, middle school and ultimately a technical high school and you can walk to school from your home. And that's -- and it's got surge running water, it's a modern state, as you can see. So and everyone gets a title deed -- so and that's a very important part of developing a value base for people in emerging markets. Move now to Reko Diq, where we've made further progress in advancing this world-class project. Fluor has now been formally onboarded as the EPCM engineering partner and the design of the tailings storage facility has now been completed. Early works are underway, and the project remains on track. Reko Diq continues to represent a significant long-term value opportunity for Barrick, a truly world-class asset with meaningful upside. We've also made good progress on the project financing. And with the bulk of the due diligence complete and documentation, well advanced, we continue to work to complete the financing this year. Six years ago, as I mentioned in Latin America and Asia Pacific, the opportunities were limited. Today, it's a region with significant exploration footprint and meaningful value upside. Over this period, we've rebuilt our exploration team and have established a portfolio of tangible near- and medium-term opportunities. We've had encouraging results in Argentina with prospects that could extend the Life of Mine at Veladero. In Pakistan, drilling, extending our new discovery at Bukit Pasir is ongoing, and we have already got a new discovery in that mining license. And just to point this new discovery, we've had some drill intersections that are some of the best drill intersections ever drilled in the complex porphyry or the porphyry complex of Reko Diq. And we're talking hundreds of meters of intersections at continuous 0.8% copper. We're also advancing new targets through drilling in the Dominican Republic and in Peru and further strengthening our future growth pipeline in the region. Turning now to Africa and the Middle East. This quarter focused on further unlocking the value potential across the region, as 1 of our main cash generators of the group. We saw a solid performance across the portfolio with encouraging improvements at Kibali which I'll speak to in more detail shortly. In Mali, we continue to manage the situation in a measured and constructive manner. We are continuing with arbitration and we are committed to finding a path forward for the benefit of all stakeholders. For those of you tracking updates closely, I encourage you to visit the micro site we recently added to our website. As I said, Kibali delivered another strong quarter with higher production and improved unit costs across the board, supported in part by a reduction in sustaining capital. We also commissioned the solar power plant and battery energy storage system further strengthening Kibali's position as one of the most automated and also one of the greenest gold mines in the world. Tanzania delivered another on-track quarter with North Mara continuing its steady performance. At Bulyanhulu, work continues on the expansion project with a focus on a second access and production area to support future growth. Gold sales during the quarter trailed production slightly in Tanzania as we adapt to the new legislation requiring 20% of the production to be reserved for in-country trading with an associated royalty reduction benefit. And now Zambia and Lumwana, we are very excited about our progress at the Lumwana super pit expansion. The operation continued its steady upward trajectory with year-on-year and quarter-on-quarter increases in production and a positive reduction across all key metrics. The expansion project itself is well on track. We've refined the development plan and Lumwana has self-funded the project through operating cash flows so far this year, and we expected to do that for the rest of the year at current spot prices. Once complete, the expanded operation is expected to deliver 240,000 tonnes of copper per year supported by a 52 million tonne per annum processing plant and a mine life of more than 30 years. And it's worth just looking at the right-hand side of the results there. And if you look at last year, quarter 2, 2024, production, copper produced 25,000 tonnes and then quarter 1, '25, 27,000; quarter, 2, '25, 44,000 and a commensurate drop in the unit cost per pound of copper, an all-in unit -- all-in sustaining costs. It's very material. And that's where our focus is. Lumwana is a mine that since Barrick acquired it, never made a profit until 2020. And it was all in discipline and unit costs. And today, we are going to expand that. And we need the all-in sustaining cost to be under $3. And then you really -- that proves our feasibility model extremely well. As you know, there are not many copper mines that are capable of delivering plus -- I mean, minus $3 a pound all-in sustaining costs. And again, Africa and the Middle East remains well positioned to replace its reserve depletion again this year. A hallmark of the region over the many years that has been operating. And this quarter, we continued to advance near-mine exploration with standout progress along the ARK corridor at Kibali with drilling, extending mineralized loads and confirming significant exploration upside. And that ARK sits right next to the main KCD orebody, which is the real basis of Kibali's value. Greenfield programs are also progressing across the region in Tanzania, the DRC and across the Central African copper belt, which plans both Southern DRC and Zambia. In addition, we continue to advance our early-stage exploration in Saudi Arabia, further reinforcing the depth of our pipeline across this region. This slide really speaks to the strength and resilience of our portfolio. While we continue to work towards a solution for Loulo-Gounkoto, it is important to note that even without it, the underlying value of our portfolio still significantly exceeds our market value. Barrick remains a peerless opportunity to invest in a world-class gold and copper business and few if any companies in the sector can match the depth or quality of the growth you see here. We grew production in quarter 2. And the second half, as I have repeatedly said, is set to deliver both higher volumes and lower costs in line with our full year guidance. At the same time, we're replacing the gold and copper we mine and growing 30% organically by 2029. This is a portfolio we are building to deliver over the long term with Tier 1 assets, world-class people and a disciplined capital allocation strategy backing at all. It is our opinion that Barrick remains one of the most compelling investment cases in the gold and copper space today. This is an enterprise with world-class assets, a clear growth strategy and the balance sheet to fund that growth without diluting our shareholder equity. We are consistently delivering on our promises, growing production, replacing our reserves and returning more capital to shareholders. This is a company built on the foundations of long-life assets, strong partnerships, financial discipline, exploration excellence and a sustainable operating model, the pillars that underpin everything we do. In the world searching for real assets, strong partners and responsible growth. Barrick stands apart. Few can match what we offer and fewer still can do it without debt or dilution. Thank you very much for your attention, and we'll be happy to take questions.
Daniel Edward Major: Perfect. Daniel Major from UBS. Nice to see you in London guys. Yes, a few questions from me. So the first one on Loulo-Gounkoto. I appreciate the best solution would be a restart, et cetera. But can you give us any time lines around the key milestones to look forward to in or look for in the arbitration process, what we should be looking for in the event that a resolution can be reached?
Dennis Mark Bristow: So I think we're not at that stage where we don't believe that we can find a resolution. And I've always said, Dan, that we've -- when you engage in talking, there's always an opportunity. Of course, there's been some activity in Mali, which complicates the process, but as far as the exit process goes, the tribunal has been appointed. The Malian authorities have nominated their member to the tribunal as of we and we have an independent President. So it's constituted. We've already presented our first application for some interim relief measures, really focused on cautioning everyone not to damage the assets while we try and seek a solution. And that process will build on. At the same time, we continue to engage also through other sort of treaty programs between Canada and Mali. And we have representation in country through our legal counsel, which is in-country really experienced team as well as some of our executives that are still in the country. And we also have third-party mediation ongoing. So there's a lot of effort going in, and we still, as I say, communicate. So it would be unwise and you've seen some efforts to try and take this discussion dispute into the public domain. We're mindful that that's not the case. We have built a site on our website, which really updates people on the facts, and we'll continue to build on that so that somebody wants to see how it's progressing and once the facts we can do it. But we're -- I mean, in all my years in this game, it's not a good practice to try and negotiate in the public domain.
Daniel Edward Major: Okay. And then the next question on divestments. It looks like you're kind of moving forward with Hemlo, Tongon. Zaldivar had the water permit extended. So we've got visibility on the Life of Mine of this asset now. What's the fit in the portfolio? And then I guess the same question for Porgera, is that a core asset as it stands today?
Dennis Mark Bristow: Well, I think we've got enough to get done in the short term. So let us finish that, we'll come back to the others, Dan. I think that I reminded somebody today when in 2019, when we closed the merger with Barrick and Randgold, Hemlo was on for sale then. We invested quite a lot into Hemlo to reestablish it as an operation, a viable operation. And as we've seen, there's a real appetite for these types of mines. And again, our view is that there's a time where we have to test our portfolio against our disciplined approach to Tier 1 long-life assets that can get us through all the cycles in the commodity space and it's good practice. I mean we, as you know, are one of the few miners that have been able to -- we've added 110 million ounces of gold equivalent ounces to reserves in Barrick in the last 6 years. And so we invest in our future. We've brought some significant new reserves in the form of Reko Diq and we've converted big reserves in PV and likewise in Lumwana. And so it makes sense to rationalize your portfolio from time-to-time. We did that immediately out the blocks in 2019. As you recall, it's now quite a few years on. We've got a growth ahead of us. It makes good sense to clean up the portfolio. And it's a good time to do it when there are buyers out there in the market.
Daniel Edward Major: Okay. And then just 1 more, if I could, on Fourmile, looks like some kind of really exciting results going forward. Does this change the way that you're thinking about the scope of the operation going forward or the time line given the growing scale, yes, how do you see that?
Dennis Mark Bristow: So there's a lot of water still to flow under the bridge in Fourmile. We have shortened the time frame. So we would like to have a sort of scoping position for the project by the end of this year. We'll then decide what's the next step? Is it prefeasibility or feasibility, exactly how we take it to the next step. And for me, just looking at Fourmile and you look at Nevada Gold Mines, if you take Fourmile and put it into the middle of Nevada Gold Mines, which is where it should be, you replace some of the feed in the roasters, which is our constraint. At 3 to 4x the grade. And so you can up the profile, you add life and you drop the costs. So it's a very valuable asset within that complex. And I think the harder -- we have worked very hard at our partnership with Newmont in Nevada Gold Mines, and we will continue to do so. And at the same time, I think we've shown that we can permit mines in the United States. We permitted Goldrush and Robertson recently. That was before Trump administration. Of course, the current administration has made it a lot easier or focusing the permitting process to make sure that it doesn't get hijacked by litigation, but that it is focused and no one is trying to change the regulations. The regulations are proper and aligned with our global view. And I would just add too, we are very active in the brownfields and greenfields extensions to the Nevada portfolio. That's the Nevada Gold Mines portfolio, the joint venture portfolio. As we are further afield within Nevada as Barrick itself. So we see this opportunity. We've seen it all the time. We've been investing in building that knowledge and making sure that we can permit drill platforms, which we're pretty good at now. And so over the rest of this year, you'll see some more opportunities, we'll point to some more opportunities to expand our portfolio within the United States.
Operator: [indiscernible] Investment Management.
Unidentified Analyst: I haven't followed the company for a while, so I have 2 questions out of ignorance. First on Loulo, the -- on the balance sheet, the book value of the assets has been partially impaired, completely impaired. What is the situation there?
Dennis Mark Bristow: So let me pass it on to Graham. It's an accounting procedure given the current situation, and he's the best man to explain that.
Graham Patrick Shuttleworth: So yes, so as Mark said, from an accounting point of view, once the government appointed the administrator to take control of Loulo- Gounkoto, that meant that we no longer had control of that asset. And therefore, from an accounting point of view, when you no longer control assets, you can't consolidate it. And so we did 2 things. We deconsolidated the assets and effectively wrote off the assets and liabilities on the balance sheet. And then we subsequently did a valuation of our investment because we still own 80% of that asset, we can still expect to get the benefits from our investment in that asset. And so we did a valuation of that asset using a number of different metrics, including risk- adjusted cash flows that we expect to get from the asset over a period of time. And the difference between those 2 was approximately $1 billion before tax, about $600 million after tax, which is what was put through the P&L. I would just point out at this junction that we also sold the Donlin asset during the quarter. We recognized a gain on that, which was around $750 million, after tax about $600 million. So in effect, we had a loss and a gain, which more or less offset each other, which is why when you look at the adjusted earnings and the net earnings, they're approximately the same.
Unidentified Analyst: Okay. Thank you so much, much clearer now. And the second question is just to have a bit more color on the project that you have in Saudi Arabia, Jabal Sayid, if I pronounce it correctly, both in terms of ownership structure and in terms of development expectations, et cetera, et cetera.
Dennis Mark Bristow: So it's a small high-grade copper mine underground. It's got a 10-year life still. We've been very successful in adding life and increasing production. It's a very low-cost producer. It's pay back all its loans and debt and it's a big contributor towards this partnership, it's owned 50-50 between Ma'aden and Barrick. And that's been -- effectively, we're the only foreign operators because we are the operator of the mine. We are partners, equal partners with Ma'aden, but we operate the mine. And what it's proven is that you can operate in Saudi. And again, we have expanded our partnership with Ma'aden in the exploration front, both around Jabal Sayid, and more recently, we're looking to beyond that partnership because that's the real partnership. We've built a lot of partnerships in my career in complex jurisdictions. And as you know, Saudi is the state mining company effectively. And it has great depth and really focused on bulk mining, that's its major value. But it has these portfolio of exploration rights across the Arabian Shield, and we see that as a highly prospective minerals belts, particularly prospective for both gold and copper. And so we're working with Ma'aden to expand our partnership across that region. Any questions in the room?
Operator: [indiscernible].
Unidentified Analyst: Just a quick question on Lumwana and the electricity situation in Zambia. Is there any update on the availability and some of the power plants there?
Dennis Mark Bristow: Yes. Nice to see you, Justin. So we've put a lot of work into the -- when we are doing the feasibility on the expansion on the power. We did a big survey of the whole Zambian power grid. And what we -- 2 things in that we've managed the power, 1 in the short term with the low water levels within the Zambezi River, what we did is work with the state power utility to wheel power through the grid from neighboring countries. And we were able to do that at relatively -- in a relatively cost-effective way, a lot lower cost than running diesel engines. And the other thing that we discovered was that there was a significant loss of power in the grid because of poor synchronization of the feed -- feeding into the grid from various different sources. And in a partnership between First Quantum and Barrick, we set about to address that and unlock and our estimate is around 500 megawatts of power. And we've invested in technology to resynchronize that power and being able to unlock some of that lost power. And we have a partnership with First Quantum. They're investing in what we call STATCOMs, which are these synchronizes effectively. And we are putting -- we are funding some additional redundancy power lines to create loops in the feed. And that is -- and it's -- again, in partnership with the ZESCO. And we believe that -- and we have the permitting now for the power that's required for our expansion. And so as First Quantum. And we believe that together, we will be able to support the expanded demand for the power expansions and their expansions. And then at the same time, there are a number of power projects within the Zambian grid that need investment, but certainly can deliver low-cost power. And that power region is -- people are talking now about exporting power from Zambia through to DRC. That's like the strangest thing I've ever heard because DRC is the real power zinc in Central Africa. And then the Tanzanians are constructing and have recently finished a big hydro facility within Tanzania. And it's really large. It has -- it will have -- when it's fully developed significant capacity, and there's now serious negotiations on linking that infrastructure into that region. And more and more, that region, that SADC region is looking at integrating their power infrastructure across the various countries. And so there's quite a lot of opportunity to improve the security of power supply and also make it more cost effective. So we're very involved in it. We're comfortable that we'll be able to manage with the plans in place, the expansion for Lumwana.
Operator: [Operator Instructions]. The first question will come from Matthew Murphy with BMO Capital Markets.
Matthew Murphy: Just a couple of questions on sort of the sequential outlook for the back half of the year. One would be Pueblo Viejo and particularly the focus on improving recoveries. Do you still target 85% recovery in Q4? Or how are you thinking about that? And the other would be the Nevada Gold Mines cost trajectory. How do you feel about the path to lower gold unit costs back half of the year?
Dennis Mark Bristow: So as -- if you do the math, Matthew, there's an improvement in production across the group and particularly at Nevada Gold Mines. And right now, if you adjust for the increase in gold price, we're guiding that we'll get there, certainly on a group basis out to the back end of the year. On PV, the big focus on PV is throughput. One of the things that with the delays in the expansion and particularly the tailings facility, it's got a substantial stockpile that we blend with the fresh ore. And some of that stockpile is high grade, but it's deteriorating. And so we've -- back in 2019, we did a comprehensive evaluation of those stockpiles into the 2020. We've started another campaign. And the view is that we need to look at that mix and also taking the older stockpiles, which, by the way, are higher grade. And what it does to in this gold price environment is that is it improves the cash flow because the stockpiles of course, as you'll appreciate or paid for. So it's -- so we'll update you as we go on that. There's always been a debate around the recoveries and the profile. And in the course of time, we'll keep you posted on what that looks like. Graham, do you want to add?
Graham Patrick Shuttleworth: I would just add, Matt, that in terms of guidance for the second half of the year, obviously, we did guide 46%, 54% for the first half, second half. But then we've also guided that each quarter is sequentially better. So you can do the math yourself, but if it's 54% and 27% at the midpoint, maybe it's 26%, 28% or something like that, just to give you some sort of broad parameters in terms of what you can expect step-ups.
Dennis Mark Bristow: And I think, Matt, just to finish off, as you know, we had -- I touched on it earlier in my presentation. We had a lot of downtime. Gold Quarry -- or first of all, Goldstrike roaster, Gold Quarry roaster, the autoclaves, we had the Rwanda replacement, a motor replacement in Kibali. We were down not 100%, but intermittently down for 35 days in PV. So we got a lot of that big, some of it, retrofitting, others planned maintenance behind us. So we've got a reasonably good run out to the end of the year, which supports Graham's outline of how we expect to perform. So no magic in the numbers.
Operator: Our next question will come from Anita Soni with CIBC.
Anita Soni: Just a little bit of a follow-up on PV, just what Matt asked. So substantially higher grades, could you just let us know what the stockpile stands at in terms of millions of tons or how many tons you would be looking to go through in -- as you resequence?
Dennis Mark Bristow: So it's a lot. Simon, are you on the call? Anita let us -- but it's like when you -- I would guess it's around 10 million ounces in stockpiles. It's 20 million out to the end of the life. So it's substantial. I can get the numbers. They are disclosed in our filings.
Anita Soni: An update on the tailings. Can you just give us an idea of -- I mean, you're pushing the throughput. That was, I mean, pretty high and pretty good throughput at PV. When we think about the tailings facility, how much room do you have ahead of you? And how should we be thinking about the second phase and when do you need that?
Dennis Mark Bristow: So we've got out until 2030, capacity and some flexibility to extend the life of the current tailings facility is included in that. And so -- right now, we're -- I mean, it's not quite on the critical path, but we're very focused on making sure that we schedule the construction of the tailings facility to be able to receive the tailings out towards the back end of this decade.
Anita Soni: All right. And then just moving to Turquoise Ridge, -- just can you remind me, you are blowing through stockpiles there too as well, right? I mean you're mining much higher grades than you're putting through the process plant. When do you think you'll be reverting more to try to get to the like a higher blend, I guess, of the underground material versus stockpiles?
Dennis Mark Bristow: So it's important right now with some of the high grade, it's high carbon material. So you need to blend to be able to manage the recoveries. And that's the Life of Mine plan is managing that blend. So again, the throughput, as you saw in this quarter, there's still some headroom on the throughput. The recoveries are in good shape. And Turquoise Ridge is a significant asset. There is other opportunities in the open pits. And so -- is Simon on? Simon?
Unidentified Company Representative: Yes. I'm here. Can you hear me now?
Dennis Mark Bristow: There was a question about the stockpile tonnage and grades at PV.
Unidentified Company Representative: Yes. So we've about 97 million tonnes at 2.45 grams a tonne, so portions of that stockpile will run as high as 2.7 grams, so.
Dennis Mark Bristow: There we are. That's the answer. And if you look at the stockpiles at Turquoise Ridge?
Unidentified Company Representative: Then sorry, one second, I need to get those numbers fair.
Anita Soni: Okay. I'll ask my last question and then.
Unidentified Company Representative: I'll come back to you.
Anita Soni: Just lastly, on sorry, halfway through my modeling here, actually about 2/3 of the way to the modeling. But -- in terms of the Porgera. I know a small contribution, but -- it seems like you have a significant ramp up there in the [Audio Gap] getting back to the prior run rates before you had all those issues with whether the country has the issue with the land side. But what are we looking for in the back half of the year? And what does 2026 look like?
Dennis Mark Bristow: So we've really reoptimized Porgera. If you look at the dividends that we've paid out and the percentage dividend that comes to the 2 investors, engine and ourselves is substantial. And we're busy recouping that the investment we made during care and maintenance. So there's a stronger cash flow component of every dollar we make back to the investors. And it's important that we get that back. At the same time, we're still 1 of the most significant contributors to the treasury in Papua New Guinea. As you would -- I don't know if you follow that, but you would have seen the Prime Minister actually issued a press release recently praising Porgera for it's contribution to the treasury. Graham, do you want to add?
Graham Patrick Shuttleworth: I was just going to say, it's -- in terms of production, Anita, the outlook is slightly more than the first half, but not materially more. And just in terms of your earlier question on Turquoise Ridge, it's 26 million tonnes at 2.26 grams a ton on stockpile.
Dennis Mark Bristow: And I think the other thing that, Anita, that -- and it's worth all the analysts reaching out to our team is that Barrick's policy, we do not design Life of Mines to maximize NPV. We design Life of Mines for long-term delivery to fully optimize the orebody. And that's always the way we've done it, and it's the way we will continue to do it. And so when you're building models, you need to be aware of our philosophy, which is quite different to others in this industry. And you don't get that big production growth in front and then cliff developing in the back end of your Life of Mine.
Operator: [Operator Instructions] Our next question will come from Josh Wolfson with RBC.
Joshua Mark Wolfson: Going back to the Slide 10. Just looking at some of these outlines, the existing resource looks to be significantly less than half of what the footprint is that's sort of in the green there. And then the grade also looks -- I mean, maybe 50% or maybe a little bit higher than that, but substantially lower grade is existing resource versus what's sort of been delineated. So some pretty big, at least in my view, some pretty big updates at this asset. I guess, first of all, I mean, is that the right way of thinking of things? And then the second part of this is there was an initial PEA that was issued, I think, in late last year that talked about over 0.5 million ounces and production rates per year and a throughput rate associated with that. And the second part is sort of -- should we still think that those economic criteria are still applicable if this reserve ultimately turns out to be what looks like on this page?
Dennis Mark Bristow: Josh, I don't know where to start. I mean how much more do you want -- so this -- so we are busy with this evaluation. We're at, as you can point the numbers that we shared with you at the end of last year are sitting in that table, that's embedded. Every day, we're getting new results. They've got to be verified. They are -- as you can imagine, these are long boreholes that take a long time to drill. The preliminary numbers were based on the drilling up to that stage. As you can see in the black dots are the boreholes we finished, the yellow dots are ones that are still going to be drilled. But the -- there's some significant numbers that still have to come out of this orebody that and our correction, the yellow ones are the ones we're drilling in 2025. Some of them are drilled. That's the yellow -- I mean, the white arrows and the others that have got no grades on still have to be drilled or have been drilled and we haven't got the results back. So it's -- I think this is a modeled interpretation based on the early-stage drilling that we've done, the continuity is proving to be a lot better than we thought. These are big breaches. And when we take you out there at the -- later on in the -- after Denver, if you're coming, you can come and have a look at it yourself, but it's significant.
Joshua Mark Wolfson: I'll see you there. I guess the second question I have is thinking about the valuation of the stock and also, I guess, in the context of the upside you're Fourmile, how are you thinking about capital allocation? When I look at this quarter's results, buyback levels were healthy, they increased from last quarter. There was also a big disposition that helped the cash position, but some of that went to the dividend, that inflow from an asset sale might not be repeated in the future, but it might be. So bottom on, I guess, is how would you be allocating cash here going forward and how important is the buyback?
Dennis Mark Bristow: So I think we're on track to -- we are committed to that $1 billion buyback strategy where the year-to-date at $411 million. And so that's the way we will manage it. As per our capital allocation. We're quite disciplined in the way we manage our capital allocation as Graham and I have been like that certainly ever since we've worked together. And do you want to add something, Graham?
Graham Patrick Shuttleworth: Yes. And I'd just say, Josh, the combination of the performance dividend and the buybacks give us that ability to take advantage of the situation as we see it. And so -- right now, we do have the $1 billion, which is earmarked and to the extent that we line up with excess capital. We have -- we've got options. We can obviously increase the buyback if we've consumed it all. We obviously are always looking at opportunities, and we can continue to pay a performance dividend. So it's about taking advantage of our options and keeping our flexibility. But certainly, buybacks is something that we will increasingly focus on given the fact that the shares are very undervalued.
Dennis Mark Bristow: And Josh, I'd just add that if you look at like Lumwana when we guided the overall capital Lumwana, we were going to contribute this year. We're at a stage now where we -- unless the copper price really weakens, we'll cover all the capital this year for Lumwana, and that brings that headline $2 billion down materially going forward. And what we're pointing to is that if you take Barrick's 5-year plan, it's easily fundable from internal resources. And on the sale of noncore assets, some of that will go to as Graham says, you can manage that process within our capital allocation guidelines. And some of it will go to share buybacks because it makes sense because you're taking out production. Some of it will give back to shareholders because it's an extraordinary benefit. And I've always said in business, when you do something you hadn't planned to do, you should share it with your owners, and that's what we do. And on the capital side, I think we're very comfortable in being able to fund our future. And I would just point out something the market hasn't got its head around is once we get to a point of being able to prove the financing of Reko Diq, it takes away that market obsession with the gearing that people keep writing about. And so we've got some fairly significant catalysts over the next -- almost every quarter going out until the start of 2028.
Operator: Our next question will come from Tanya Jakusconek with Scotiabank. I believe that Tanya is having some audio issues. We can move on to the next question.
John Charles Tumazos: Could you update us on your Canadian tax loss position, whether they expire at a particular point in time, American ones do some time and how that interacts in the decision to sell Hemlo or maybe buy something to replace it.
Graham Patrick Shuttleworth: John, it's Graham. We have around $2 billion of ordinary losses and another $2 billion of capital losses. As a rule, they expire in around 20 years, but some of them don't expire at all. So we have quite a lot of headroom and runway on those tax losses. And certainly, in the context of the disposal of Hemlo, they would certainly be useful in protecting the proceeds of that sale substantially.
Operator: Our last question will come from Martin Pradier with Veritas Investment Research.
Martin Pradier: My question is on Tanzania. [Audio Gap] What is the price at which you have to sell that 20%?
Dennis Mark Bristow: So spot price. It's a market-related price. And that's the reason we hung back this quarter just to get everything right. So we want to -- we've made proposals of getting the gold back from the rand refinery in a refined form or selling it into Tanzania to other buyers, but our condition is it needs to go through the Central Bank. And with it is the agreement. We've got to agree on how we do the check assays and any disagreements how are we going to do that. The positive side of that is we get a 3% benefit because we don't pay duties on that export because it's internal. So there is a significant that these gold prices benefit for us. And so as you know, we've got an solid engagement with the government of Tanzania, and that's what we focus on, just to make sure that everyone is in agreement with how it works and we've got proper binding agreements.
Martin Pradier: And just last question. If you could share how advanced are you in the conversations about Tongon? Because I've read in the news that there were some offers. And could we see something at the end of this quarter?
Dennis Mark Bristow: The 1 thing I can say without fear of contradiction, don't listen to the scuttle bug of the -- some of these reporters. As you know, these processes run as very controlled progress led by our investment banking partners, and we do not disclose where we are until the process is closed. We definitely engage with our host countries in the process, but it would be unprofessional to leak or disclose the progress or even the participants in this -- in such a process.
Operator: This concludes the Q&A. I will now turn the call back to Mark Bristow for closing remarks.
Dennis Mark Bristow: Well, thank you, ladies and gentlemen. As I said, not a particularly enthusiastic day for gold today given the rumors of charges on gold bars that came out at the end of last week. But as a business, a solid performance on the back of the start in quarter 1, a very clear destination insights on delivering overall for the year. And again, I think this is a great example of the way we allocate capital, the tremendous value that we've embedded in this organization. And really, it's when you grow NAV, it's always a challenge to daylight it much easier to do M&A, but that organic growth is where you really do create value in the mining industry, and we're extremely well positioned to be able to deliver on that. So thank you, again, for those who came and particularly in this nice London weather. And for the rest, we will see you, hopefully, at Denver and then after that, those who are joining us on the trip, it will be good to catch up. So with that, thank you very much again, and speak to you soon.
Operator: This concludes today's event. Should you have any questions, please contact Barrick's Investor Relations department. Thank you for joining us.